Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Dorel Industries First Quarter 2018 Results Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time for you to queue up for questions. [Operator Instructions]. Before turning the meeting over to management, please be advised that this conference call will contain statements that are forward-looking and subject to a number of risks and uncertainties that could cause actual results to differ materially from those anticipated. I would like to remind everyone that this conference call is being recorded on Friday, March 4, 2018. I will now turn the conference over to Martin Schwartz, President and CEO. Please go ahead sir.
Martin Schwartz: Okay, thank you. Well. Good afternoon, everyone. And on behalf of Jeffrey Schwartz; and Frank Rana, thank you for joining us for Dorel’s first quarter earnings call. We’ll take your questions following our comments and a reminder all numbers are in U.S. dollars. We had been expecting a slower start to the year, but the first quarter was actually more difficult than originally anticipated at both Dorel Juvenile and Dorel Sports. To a large degree and due to the Toys “R” Us situation. At Dorel home, January was slow, but things picked up later in the quarter and stayed strong into April. In fact, the warehouse network processed a record number of packages in the e-commerce channel in March. It is important to clarify the Toys “R” Us situation from Dorel’s perspective. Our U.S. annual sales with Toys “R” Us last year represented approximately 3% of the Dorel’s total revenue. As indicated in today’s release, last Q1 shipments for all three Dorel segment totaled approximately $7 million. There is of course the question of receivables which Jeffrey will discuss shortly. Needless to say that the TRU situation has been analyzed extensively by our various management teams. Although unanimous that this business will not be lost, but rather will be shifted either to other retailers or sold through other channels. There will be some market disruption on a short term with TRU liquidation sales. The situation should stabilize with the second half and we are confident we will see these sales being made up elsewhere. The vast majority of Dorel’s products are not purchased by consumers on an impulse basis. People shop for juvenile products, bikes and electric ride on toys because they want them or have decided to buy them. They can’t get them in one store, they’ll go to another. There are numerous, exciting new products being launched through 2018 and into next year. We feel strongly that these introductions coupled with our strong brand recognition will find traction with consumers. In Juvenile, among the launches is the Maxi-Cosi Magellan, a five in one convertible car seat. It will be available in about a month, it is principally for the U.S. market and is the only seat equipment Maxi-Cosi patented, adjustable side impact protection. The new Safety 1st RIVA Travel System, which was launched to coincide with April 22nd Earth Day, is the only recycled resin stroller frame made in the U.S.A. It is lighter than ever due to our innovative manufacturing process. The six in one system has the versatility of parent-facing and forward facing modes, and a first-ever no wake carriage mode. We are quite excited about its prospects. The Titan and Titan Pro models will augment Maxi-Cosi’s multi-age car seat offerings in Europe, and are also targeted for Asia and Latin America. Juvenile’s new product roadmap and winning strategies on e-commerce and with key retailers means we are seeing success in most markets. The exception in the first quarter was in Chile where the shifting marketplace mean sales and gross profits are lower. Our wholesale customers have moved completely online which has had the impact of lowering retail price points and expanding competition within their virtual stores. This has had an impact on our own retail stores as consumers now have access to more points of sale, where they can easily comparison shop our products. This was a drag on our earnings in the first quarter. Our responsive has been to aggressively expand our e-commerce capabilities and reduce our retail footprint to compete in this new environment. This in fact -- we remain the number one baby retailer and number one brand in the country. As we adjust our business model, we believe, we will reverse the situation. We remain confident of our long-term prospects in Chile. At our Dorel Juvenile China factory, production has stabilized and we delivered on time to our internal and external customers around Chinese New Year. However, higher commodity prices and unfavorable foreign-exchange levels are hurting our earnings. We will continue to work on improving the factory and will need to raise prices where necessary. In sports, the coming months will see the introduction of several exciting model year 19 bikes, expected to be enthusiastically received including the new Cannondale Lefty. Cannondale will also launch a complete e-bike line in Europe in response to the growing popularity of e-bikes abroad. As well a new category of interactive ride on toys has been developed through a launch this fall which will set us apart from the competition. The positive reaction to Cannondale has been underlined by extensive media recognition. Cycling Plus is the UK's number 1 Road Cycling Magazine has named the Super Six Evil as the 2018 race bike of the year. Our CAAD12 Ultegra and the Synapse are also placed in the top five. The Synapse has been given another distinction winning the 2018 road bike editor’s choice award. In short, we have every reason to be excited about our lineup in Juvenile and Sports. I will now turn things over to Jeffrey.
Jeffrey Schwartz: Thank you. I’ll comment on the quarter results. Consolidated revenues decreased by 4.4 million or 0.7%. Organic revenues declined by about 3.8% that’s after removing the variation of foreign-exchange year-over-year. A couple of highlights there, lower sales in the Dorel homes brick-and-mortar channel. Lower sales Dorel sports mainly from Pacific cycle, and that’s mainly due to poor cycling weather, again, we started off with a bad first three months. And then the Toys “R” Us liquidation we actually had $7 million of orders that we did not ship in the month of March because of the bankruptcy. So if we look at the gross profit, we’ve got a decline of 60 basis points for the first quarter. When we exclude restructuring and other costs, adjusted gross profit decrease is actually 70 basis points. When we are looking at the SG&A you see an increase in that area, but the majority of the increase is the attributable to foreign exchange variations year-over-year, particularly in Dorel Juvenile. From the in impairment loss from Toys “R” Us was $12.5 million in the quarter, that is the trade receivable write-down. A breakdown of that is $2.1 million in home, $3.8 million in Juvenile and $6.6 million in Dorel Sports. The company reported an overall profit of $12.8 million during the first quarter compared to $33.9 million. When we exclude the restructuring costs it decreased by $25.1 million to $13.9 million, from $39 million and then when we remove the impairment loss of $12.5, the adjusted profit still declined by 12.6 million and that’s primarily due to lower revenues in Dorel Home and Dorel Sports and some lower gross profits in those areas as well. Finance expenses decreased. If we look at actual interest paid only, it decreased by about $2 million or 20% to $7.8 million for the first quarter and that’s just due to lower rates and lower average bank indebtedness versus last year. Tax rate 6.9% for the first quarter compared to 35.7. When you exclude income taxes on restructuring and other costs, you end up with a number of 10.2 versus 22.60. When we look at the forecast we are still maintaining a 20% to 25% annual rate. Reported net income for the first quarter was $4.7 million or $0.14 per share, compared to $0.27 last year. Excluding restructuring and other costs and the re-measurement of the forward purchase agreement liabilities and the loss on early extinguishment of long-term debt last year, adjusted net income was 5.5 million or $0.17 per share this year versus $22.7 million or $0.69 last year. And then when you add back the Toys “R” Us impairment of receivables, that was worth $0.29 per share. So when you do that, it comes to of a profit of $15 million or $0.46 per share compared to the $22.7 or $0.69 per share last year. We started Dorel Home now moving into the segments first quarter revenue decreased by $11.8 million or 5.8%. Little bit about timing on that, we had a very difficult January for various reasons. By February, we are already comping well with last year and by March, we moved ahead of last year, but not by the total amount that we lost in January. We are looking at April, April looks like a solid month. So I think we have kind of past that slowdown that we had in January, and we are back on the growth pattern. For the first quarter, e-commerce sales represented 50% versus 44%. We are still seeing a decline in regular brick-and-mortar channel and then as well in Toys “R” Us which was one of our accounts for cribs and some other furniture while they’re gone including the $3 million of orders that we didn’t ship. Our first-quarter profit rose to 17.7% an improvement of 80 basis points from 16.9%. The improvement is basically because of the shift in sales to higher margin items, so the mix is improving. We do have us some pressure on price and some costs coming out of raw materials and as our warehouse and distribution costs are going up as our business goes up. Operating profit declined by $3.5 million or 17.7% during the quarter, but when we exclude the Toys “R” Us receivable write-down it actually only declined by 1.4 million or 7% and again like I said, the timing of that was a really slow January start, followed by increasing sales and earnings as the quarter went through. We move over the Dorel Juvenile. First-quarter revenues were increased by $14.7 million or 6.4%. Organic revenues increased by only 0.4%, but given the difficult quarter with Toys “R” Us we’re not unhappy with that. And on top of that revenues increased moderately in the segments U.S. and European business. And again considering what happened, we still grew single-digits in the U.S. despite having the issues that we did with the Toys “R” Us. So we are upbeat on some of our major markets. Some of the smaller markets as well are doing well, Brazil we are seeing a growth in Brazil, double-digit, we’re even seeing growth in Peru, double digits however, a lot of that was offset by challenges that we have in the Chilean market. Our gross profit decreased by 230 basis points to 28.3% from 30.6%. When we remove restructuring, it’s actually slightly worse at about 280 basis points. A lot of that drop is coming out of our factory in China, where we’ve had significant cost increases because of both raw materials and currency as the Chinese currency has weakened, that’s caused some concerns for us. From a pricing standpoint, we are now starting in Q2 and Q3 we’ll be increasing our pricing going forward in that area. Chile also, as we talked about some of the margins, Martin mentioned from the shift in the market, that’s also put pressure on our business. I mentioned before selling expenses SG&A are up, but a lot of that is the foreign-exchange related. So the operating profit in the first quarter was $2.6 million versus $9.6 million. Excluding the restructuring and other costs, operating profit for the quarter amounted to $3.7 million versus $15.3 million and then when you exclude the Toys “R” Us write-down, the profit was $7.5 million compared to $15.3 million. Overall like I said, we are actually feeling pretty good. We’ve had a lot of successes with some of the new products, they are just starting to hit the market. We said the U.S. business is improving, the European business is solid, we are getting improvements in different markets, but we did get a lot of noise from Toys “R” Us bankruptcy that’s affected us. And then, having both China and Chile drag us down, you know makes this quarter look not that good when there is actually a lot of, kind of really good things happening in the background. Moving over to Dorel Sports, Dorel Sports first quarter revenue declined by $7.3 million or 3.4% after you exclude the various exchange rates, the decline was actually 6.2%. Most of that came from a mass-market business, which was driven by both the liquidation of Toys “R” Us and poor weather. Last year, you know it’s the fourth quarter to start with, the quarter -- first-quarter of bikes is the worst quarter of the year, and you never get tremendous amount of sales anyways January to March in North America. However, this year February was particularly bad versus last year’s February, and it just drove the top line sales down for all bike distributors. The gross profit in the quarter declined by 80 basis points excluding restructuring it only declined by 30 basis points to 22.1 from 22.4. Number of different things affecting that, a lot of it is a mix of products that we are selling, in the Brazilian market we are selling more bikes but lower priced bikes than we did last year, and in Pacific cycle is got the decrease in revenue, so that’s affecting that. Now if you look at the operating profit, it decreased by $10.9 million to an operating loss of 800,000 for the first quarter compared to $10 million. When you exclude the impairment loss on Toys “R” Us, which was the biggest for all three of our sectors was in the bike business. The adjusted profit should be up $5.8 million compared to $9.5 million. And again, that’s explained a lot by the lower revenues in all our other accounts on the math side. With that, I’ll pass it back to Martin.
Martin Schwartz: Okay, thank you Jeffrey. Regarding our outlook, while 2018 started with lower sales and earnings than initially expected, we expect improvements over last year as the year progresses. We are confident that much of the loss Toys “R” Us sales will be recovered commencing in the second half. At Dorel Home despite a slow January, sales have bounced back and we remain committed to further revenue growth and higher operating profits in 2018. At Dorel Juvenile, many significant new product launches are still to come this year and into 2019. The impact of the Toys “R” Us liquidation, the reduced earnings in our Chilean business and increase costs in China may dampen earnings in only in the short term. However, we are seeing e-commerce growth and point-of-sale increases in many of our markets and our plan new product introductions have never been a strong. As a result, we still expect revenue and adjusted operating profit improvement in the second half. Dorel Sports second quarter earnings may be reduced by the residual impact of the Toys “R” Us insolvency as a liquidate on hand inventory and by the poor April weather in our markets. As we enter the second half, the hangover effect of Toys “R” Us liquidation should dissipate and our upcoming new products are expected to drive improved sales and adjusted operating profits. With that, I will now ask the operator to open the lines for questions. And as always I ask you to limit them to two on the first round. Operator?
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Derek Lessard from TD Securities. Please go ahead.
Derek Lessard: Yes, good morning everybody. I was just wondering if you can maybe talk about your comfort around that the inventory levels. They are up about $30 million, particularly in the context of the Toys “R” Us liquidation. And maybe just follow up with, can you speak to your confidence of market improvement in the back half the year. I mean one would have figured that bikes for example, the commitments from the retailers have already been made and perhaps now you’ve got a whole bunch of discounted bikes from Toys “R” Us floating around.
Martin Schwartz: From our inventory is probably normal. It does climb in the first quarter. We have no real excess inventory of Toys “R” Us products. I mean, in many cases they carry is very similar products. That might be a handful of bikes brought. From our point of view, there’s not a lot. We do know that a lot of the retailers, particularly on the bike side are looking, they see the whole that Toys “R” Us is leaving which is a lot of the children’s bikes. They are looking to take that up by expanding their bike ranges and adding more SKUs to that and going after, doing advertising there. They're all trying to bring in that buyer. As Martin said, we don't think there's going to be less bikes sold in America because Toys"R"Us isn't selling them. So nobody -- it wasn't like a spur of the moment thing. So we -- for instance, we don't have any TRU-specific bikes with TRU logos or anything like that on that. So, we've got to go through the process of getting these bikes listed in various places, and that's what we're doing now. But we think by Q2, the run rate will be normalized again, not -- sorry Q2, second half. Q2 is still going to be impacted, obviously. We're in it right now and we're still doing the process of moving inventories and getting new listings and all that. But other retailers are open to doing that, to adding more SKUs.
Derek Lessard: Okay. And maybe just one more before I re-queue. Are you able to quantify early on what you expect the TRU charge to be or impact to be in Q2?
Jeffrey Schwartz: Well, there's not going to be any more receivable like a write-down charge, so no. All I'm saying is that your business could be soft as they continue to clear inventory and not reorder, right? So that could put a damper on -- they'll be selling product in the marketplace during Q2 and not reordering.
Derek Lessard: Okay. Thanks for that. I'll re-queue.
Jeffrey Schwartz: We're fully reserved from -- or we believe we are from an AR standpoint.
Operator: Your next question comes from the line of Dave King from Roth Capital. Please go ahead.
Dave King: Thanks. Good morning, guys. So just to make sure I'm understanding it correctly. Do you expect to -- I mean are you expecting any kind of resumption in orders from TRU in the back half? Or are you just -- is this recovery more...
Jeffrey Schwartz: No. I think what's happening is -- yes. Yes. So I think if you go with the idea of that -- the amount of car seats or bikes sold in America is not going to change because Toys"R"Us is gone, what we're saying is those shoppers, particularly on the Juvenile side, I have even more confidence that those shoppers are going to go somewhere else to buy the product they would've bought at TRU. And we have products in those other locations and we're seeing a lift in other stores and we're seeing other retailers sort of taking on the challenge saying, well, we know that TRU had a great business in this category. We're going to expand that category and try and pick up that business. So that's still a little early because I think TRU is still liquidating in Q2. So I can't say that 100% of that business is transferred to other retailers but we're figuring by the second half that's going to happen. And therefore, we're not shipping TRU anymore in the U.S. There's nothing to ship anymore. But other people are picking up their orders and we're seeing that already.
Dave King: Okay. And that's similar to what we've heard from some other consumer product companies as well. Target and others are trying to pick that up. Okay, that makes sense. And then in terms of what occurred in Chile and now your plans to aggressively expand your own e-com capabilities, to what extent do you plan or do you think you might have to take similar actions in other markets over time or other segments...?
Jeffrey Schwartz: Right. That's a really good question and -- because we spent some time on that. Chile was unique. Chile was a place that we had a large footprint that was capable of selling a lot of wholesale locations and we built. We were building -- we had a footprint. We didn't build it. That was there to deal with brick-and-mortar, not our own stores, right. We still have our own stores. We're not talking about that. We're talking about the rest of the Chilean market in which we supply different brands. And Our own brands, but other brands as well, we supply those people. So we have a big footprint. And as that customer base -- and it's the same customers. They just stopped selling in their stores and they're moving everybody to go online. Well it's a different skill set you need and a different footprint you need. So we're going to need to transfer that out. When we look at all the other markets that we're in, we don't have that anywhere else. Everywhere else, we don't have a large footprint dedicated to doing what brick-and-mortar, and certainly, there is nowhere else in the world that I know that's virtually going 100% to online. I mean that's our unique situation where pretty much the only brick-and-mortar stores in Chile are our own stores. People are still going into those but the Internet is certainly taking a piece of that.
Dave King: Okay.
Jeffrey Schwartz: So it's unique. It's a unique situation, I guess, is what I'm saying.
Dave King: No. That's helpful. I'll get back in queue.
Operator: Your next question comes from the line of Sabahat Khan from RBC Capital Markets. Please go ahead.
Sabahat Khan: Thanks. Just following up on the Chile kind of revamping their footprint. How much do you think you're going to have to maybe rationalize your footprint there in that market?
Jeffrey Schwartz: We're working on that right now. We're going through. We're trying to-- we're developing a new plan. I mean one of the advantages, I guess, we have is that we understand through our home business how to deal with the online world and what type of physical structure you need and what roles you need to deal with third-party e-commerce players. We do that really well. So we're now sort of transferring that knowledge base down there so that it'll take less time than it would've normally for a company to do that. And we're going to be cutting some costs and some other things that we do that we no longer need. I mean as an example, what happened in the past in Chile was they used to have people that would go in the stores on the weekend and guide you to our products. So they would work on the floor of the department store and they'd be specialists in our products. Obviously, you don't need those types of people and you don't need the structure around those people anymore. And that's been going away slowly but those are the type of things that we're going to have to change and then instead hire people who really understand how to manage websites and manage the traffic and manage the shipping and doing all of those things. So it's sort of a transfer of skill sets, but I think we can do that. We have the ability to do that.
Sabahat Khan: All right. Thanks. And then switching over to the home segment, can you maybe talk about the weakness that you noted at the brick-and-mortar retailer? I guess was it more outsized weakness in the recent quarters? And then what are you seeing for the back half of the year that makes you, I guess, more confident...?
Jeffrey Schwartz: I don't think it's outsized. I think we've seen the move to online and it's been going on for a long time. And we've been talking about this. In the -- if you go back historically, you look at our quarters and I think the best quarters we had, maybe there was a 1% growth in brick-and-mortars or a 1% decline. This was a little bit more than that. But -- and again, I'm predicting that, that's going to continue that trend. So we're investing and continue to invest all into the online part of that business. I mean, there's still brick-and-mortars, it's still big and we still cater to it but the future seems clearly to be the online retailers in Home Furnishings.
Sabahat Khan: All right. Thank you.
Operator: Your next question comes from the line of Stephen MacLeod from BMO Capital Markets. Please go ahead.
Stephen MacLeod: Thank you. good morning guys. Just two questions here. When you think about the Juvenile and the sports business, obviously, some of the impacts from Q1 will linger including the Toys"R"Us liquidation. So presumably, that weighs on Q2. When you think about the improvements in the back half of the year, do you sort of expect adjusted EBIT to be up year-over-year in Juvenile and sports for the full year?
Jeffrey Schwartz: Yes, I do. Adjusted, yes. If you take away the prime for sure. Yes. I mean we've got -- like I said, there are some really good things going on in Juvenile which gets hidden away. I mean it's been a while since we've grown in the U.S., particularly in a difficult quarter. I think a lot of our competitors are down. We're having some success with some of the new items. We're getting a lot of new listings. We have the best line of products that I've seen Dorel have in the last 10 years coming through later this year. So yes. I'm excited of -- that we're going to make progress. Chile, hopefully, will be helping us -- will be profitable again in the second half of the year, maybe not as much as last year. But again, we lost some money in the first quarter. But all the other markets, Europe looks good. Asia looks good. Brazil looks good. So I do think there's a lot of great stuff going on there. On the bike side, we didn't talk much about our IBD business but it was pretty good. It was stable. Despite the weather, we came on plan, maybe a little bit ahead of plan. So I'm cautiously optimistic. I know we've got some really interesting stuff coming in the second half of the year. So you would know on the IBD side, all the new bikes come sort of in the summer or at the end of the summer, as weird as that is to launch new bikes at the end of the season. But nevertheless, that's the way your market works. So I'm got more hope this year. So I do think that we're going to see some pickup. And the weather is the key on bikes. I mean April was a really poor start. The end of April was okay. And this particular week in May, actually the weather is really good and we're seeing some really strong POS sales. So if I had a crystal ball and I knew that the weather would be good in May and June, I'd be a lot more optimistic, but right now it's difficult to bet on the weather.
Stephen MacLeod: Right, okay. That's great. And then maybe just shifting to home. Can you just talk a little bit about what you saw driving the weakness in January? And then since then, have you seen it -- did it sort of accelerate quickly or pretty evenly between then and now?
Jeffrey Schwartz: I don't have all the details. We really had a strong Q4. Some of our the retailers might have brought product in then. I don't have anything really about January rather than it just got off to a really slow start. But yes, steady, like I said, February, we were not behind anymore. I think we were pretty close to last year. And then March, we pulled ahead of last year and almost, if we had another few days, I bet you we would have maybe even made up and got ahead of last -- for the quarter, but we've kind of ran out of time. April's off to a pretty good start. We're doing some interesting things as the year goes on with some new categories and some new items. So -- and we're seeing strong growth in the category and I think we're pretty good at what we do and understanding how to grow online. So that's certainly our strength, and I'm optimistic we're going to continue to grow.
Stephen MacLeod: Okay. That's great. Thank you very much.
Operator: Your next question comes from the line of Zachary Evershed from National Bank Financial. Please go ahead.
Zachary Evershed: Good morning. I was hoping you could give us the organic growth for home and how that breaks down between brick-and-mortar and online sales?
Jeffrey Schwartz: Well, I think -- I mean, there is -- the organic growth there has no differences, right, because it's all U.S. currency. So whatever I gave you, it is revenues decreased by 5.8% and I said where 50% of that was e-commerce. So I don't have -- you can probably figure that on your own, but we grew on e-commerce side and we came back down on the bricks-and-mortar side.
Zachary Evershed: And the brick-and-mortar was falling faster than the e-commerce growth?
Jeffrey Schwartz: Yes. I would say…
Zachary Evershed: For the quarter?
Jeffrey Schwartz: Yes. For the quarter, yes, for the quarter. Keep in mind, we also suddenly lost Toys"R"Us at the time. So there's nobody -- we didn't have replacement sales in Q1 yet for the Toys"R"Us business.
Zachary Evershed: Thanks very much.
Operator: Your next question comes from the line of Derek Lessard from TD Securities. Please go ahead.
Derek Lessard: Yes. A couple for me. Just wondering what your thoughts are on your debt level going forward. I think you're closer like after today's quarter to 3.5 times. And just wondering what your comfort levels are, ways you're thinking of bringing it down and what if you -- have you thought about, if you don't get that rebound or stabilization or even if there's a slight disruption in your current business?
Jeffrey Schwartz: This is a particularly difficult quarter. We're pretty confident that we're going to pick up our business on the Juvenile side, the Home Furnishings side. I mean I don't have a lot of concerns there. I mean the sports side still got the weather. Like I said, there are still some things have to happen to see the pickup, but I'm not overly concerned. Our cash flow is fine. We're focused on the cash. We're not -- again, we were looking at it. We're comfortable.
Derek Lessard: So you're -- is there -- I guess, what is your comfort -- is there -- what's your comfort level above 3.5, I guess?
Jeffrey Schwartz: This is kind of where we are. I mean, again, some of that is subordinated debt, right? So from a banking standpoint, our numbers are a lot less. If we exclude -- yes, and we're below 250 from a banking standpoint because we exclude the subordinated debt there. We want to be below 2.5 and we've been there most of the time.
Derek Lessard: Okay. Fair enough. And in terms of your guidance, do you guys have any target in terms of revenue growth or EBITDAR margin expansion every year? And just in other words, I'm just wondering what you'd expect for profit growth in 2018 and maybe looking further out in...
Jeffrey Schwartz: What I mean, the consumer product sector is really in a lot of turmoil. I'm sure you know, if you look at a lot of other people, I mean, the retail environment is different. We're exposed. We have a business that's weather-related as well. So that's one of the reasons we don't give an outlook. There's too many moving pieces. We've got to focus on what we can do, which is better product, more efficient, making the right products for this time and for our retailers and also learning how to do business in the shift to online from brick-and-mortar, and that's what we can do. And it's changing so fast, Derek. Like they say, every year it's just -- the changes are faster and greater than the year before, and our challenge is to live up to that, so given all of that, we're not looking to start giving forecasted numbers at this point.
Derek Lessard: Okay. And then maybe just on that challenge to -- from bricks-and-mortars to online, I'm wondering how big your -- the Chilean business is as a percentage of Juvenile. And maybe your thoughts on when you expect to get to that level of online expertise.
Jeffrey Schwartz: Well, first of all, we do have an online presence already on our own in Chile and its growing. So this is not starting from scratch. I think where we're focused more is being more competitive, not just being online. Everybody's online. It's how you will really be good online, how do you understand what's needed. So I mean that was -- that's the plan for this year. We're going to start it. Like I said, it's not like we're starting from scratch. We already have something there and they're doing business online. It's just we're doing less business online with the third-party customers than we did when they had their stores. That's the challenge. How do we become better than our competitors online is our challenge, not just how we do business online because we're doing that and we sell. So we want to be able to do better, more efficient, understand all the different things that you need to do to go online. I know in Home Furnishings, I think we're the best there is. So we can -- we have that knowledge in-house. We need to transfer that over to some of the other divisions and some of them are doing really well as well. I don't want to make it sound like our other divisions are not doing well. Maybe Chile is behind, but certainly, our European -- I would say, we're probably the top online Juvenile retailer in Europe. We're doing much better. We're growing very fast in the U.S. We're not the top but we're doing well. And in bikes, we're learning more and more and we're investing more in that area.
Derek Lessard: Is there an opportunity on the bikes? So is that on the mass side? And is there an opportunity as well on the IBD?
Jeffrey Schwartz: Well, the mass side is easier. Their IBD is more challenging. There are some players. I'm not aware of huge success stories in America online. Lots of people are trying. It's better for P&A than it is for actual bikes, and Europe has one good online player. But it's still a little bit more murky, the IBD end of the online, Ss we're focused more on the mass side and -- than we are on the other side.
Derek Lessard: Okay. Thanks for that gentlemen.
Operator: That concludes today's Q&A session. Mr. Schwartz, I turn the call back over to you.
Martin Schwartz: Okay. Thank you. I'd like to invite everybody to join us at our Annual Meeting of Shareholders, which will take place in Montréal, Tuesday, May 22nd at 9:30 A.M. at the Ritz-Carlton Hotel. I want to thank everybody for joining us today, and have a good day.
Operator: This concludes today's conference call. You may now disconnect.